Operator: Good day, ladies and gentlemen. And welcome to the Lightbridge Corporation’s 2013 Third Quarter Business Update and Financial Results Call. At this time, all participants are in listen-only mode. Later, we will conduct a question-and-answer session, and instructions will follow at that time. (Operator Instructions) As a reminder, this call is being recorded. I would now like to turn the call over to Gary Sharpe. You may begin.
Gary Sharpe : Thank you Michelle, good morning. And welcome to the Lightbridge 2013 third quarter business update. Our earnings news release was distributed after the market closed yesterday and can be viewed on the Investor Relations page of Lightbridge's website at ltbridge.com. Seth Grae, our CEO will lead today’s call. In addition, the following executives are available to answer your questions; Jim Guerra, our Chief Operating Officer; Jim Malone, the Company’s Chief Nuclear Fuel Development Officer; and Andrey Mushakov, Lightbridge’s Executive Vice President for International Nuclear Operations. Of course today’s presentation includes forward-looking statements about the Company's competitive position and product and service offerings. During the course of today’s call, words such as expect, anticipate, believe and intend will be used in the discussion of goals or events in the future. These statements are based on our current expectations and involve certain risks and uncertainties that may cause the actual results to differ significantly from such estimates. The risks include but are not limited to the degree of market adoption of the Company’s product and services offerings, market competition, dependence on strategic partners and the Company’s ability to manage its business effectively in a rapidly evolving market. These and other risks are set forth in more detail in Lightbridge’s filings with the Securities and Exchange Commission. Lightbridge does not assume any obligation to update or revise any such forward-looking statements whether as the result of new developments or otherwise. Now today you can participate in the call two ways. First, you can submit questions for management in writing to ir@ltbridge.com. If you’ve already submitted a question, we thank you. You can also submit them at any time during the prepared remarks or doing the Q&A period. Second, after the prepared remarks, the telephone lines will be open for live questions. Now let’s get started, here is Seth Grae, CEO of Lightbridge.
Seth Grae: Thank you Gary, good morning everyone. Lightbridge is better positioned today than even one quarter ago. Two strategic milestones we achieved during the third quarter are especially encouraging. First, the feasibility study we are conducting with Babcock & Wilcox for a pilot facility for nuclear fuel fabrication. And second, our advisory services contract with Lloyd's Register in Korea. First is the feasibility study we are performing with Babcock & Wilcox Nuclear Energy. Babcock & Wilcox is one of the finest large nuclear companies in the world. And has the capacity to make nuclear fuel for the U.S. and world markets. Together, we are studying the joint development of a pilot scale facility to demonstrate fabrication of Lightbridge's metallic nuclear fuel in the United States. We expect to sign a definitive agreement in early 2014. The pilot scale facility could produce Lightbridge metallic fuel for lead test assemblies for the first uses in existing commercial reactors in the United States. The operation could later be expanded for larger scale commercial production for U.S. and international markets. This fuel will provide the crucial safety and economic benefits that nuclear utilities tell us they need. Lightbridge has the world leading nuclear fuel design team. Their work is informed by the major nuclear utilities that advise us, to make sure that the fuel we are developing will solve their problems and will work well in existing nuclear power plants. In addition to being advised by the end-user utilities, our fuel design team is also advised by leading experts who come to us from the major nuclear fabricating companies, who make sure that our fuel can be commercially produced and that team now includes Babcock & Wilcox. And our work in Russia remains on track. Second, Lightbridge was selected for very important consulting work in South Korea. We are working as a subcontractor to Lloyd's Register. Our tasks in Korea focus on key safety issues, including seismic qualification. It was very important in Korea to bring in the best expertise and we are honored that Lightbridge experts have been selected. We also have additional outstanding consulting proposals before governmental and private entities in Europe, Asia and the Middle East with plans to create or expand nuclear electricity generation. We expect new contracts during the remaining months of 2013 and into 2014. The consulting work is of strategic importance to Lightbridge and provides revenue that we use towards completing development and deployment of the nuclear fuel technology. Everything we do, both in nuclear fuel development and in consulting is geared towards meeting the important commercial needs of our customers and meeting or exceeding the highest of international safety standards. We see our new arrangement with Babcock & Wilcox on fuel and our new consulting work in South Korea as both demonstrating Lightbridge’s unique leading ability to improve nuclear safety in ways that also improve the economics of nuclear power. While our preference is to bring capital into the Company through our consulting work and commercial arrangements with major nuclear fuel companies, in the third quarter we also demonstrated Lightbridge’s ability to raise needed capital from institutional financial investors. On October 25th, we received a net of $3.9 million through registered direct offering to institutional investors. William Blair served as placement agent for the offering. Awareness of Lightbridge’s fuel technology and consulting services is increasing at the same time as the focus is sharpening on climate change and the carbon-free nature of nuclear electricity. Last night, CNN broadcasted a documentary film Pandora’s Promise, an examination of how former leers of the antinuclear movement have recently become convinced that nuclear power is essential. James Hansen is perhaps the world’s leading climate scientist. He is a professor at Columbia University and was the leading climate scientist at NASA. On November 3rd James Hansen and other leading climate scientists issued an open letter calling for development of safer nuclear power and recognition that renewable energy alone cannot prevent catastrophic climate change. This is what Lightbridge is doing. And as China cities are setting new records in toxic air pollution, the fastest growing energy markets are accelerating their switch to nuclear power. But it needs to have an even more enhanced safety and significantly improved economics focus to compete against and beat coal and hydrofracking natural gas that emit so much carbon dioxide. And only Lightbridge’s nuclear fuel technology can do that. Like leading climate scientist James Hansen, we acknowledge that existing nuclear power systems are not perfect. However, at Lightbridge we are working to improve our global industry with innovative fuel technology that allows existing and new build reactors to operate with increased economic efficiency as well as with greater safety. Now let’s open the call to your questions. Remember, in addition to asking live questions by telephone, you can also submit questions in writing to ir@ltbridge.com. We will pause while Michelle reviews the procedure for asking live questions.
Operator: (Operator Instructions)
Gary Sharpe : While we’re waiting for the call to -- the queue to materialize let’s answer a question that came in from an investor in the Midwest. He is asking, can you give us an exact timeline for work at the Idaho National Lab and the Russian test reactor? Is either one ahead of the other in respect to different types of testing? That’s his first question.
Seth Grae: And I’ll let Andrey Mushakov to answer that question.
Andrey Mushakov: Sure. Our current plan is to begin irradiation test in the MIR research reactor in 2015 and the ATR irradiation test is likely going to happen a little bit after that. So we expect the MIR irradiation test to begin before the ATR irradiation test can commence. This is due to the fact that fuel samples which has to be fabricated in Russia and then shift over to the U.S. and they have to go through very rigorous approvals both in Russia and the United States for export in Russia as well as for import here in the U.S., so it’s going to take a little bit more time for those samples to be ready for irradiation testing at the ATR. But the MIR irradiation testing can begin relatively quickly once the fuel samples have been fabricated in Russia, because we can avoid all of those cross-border shipment considerations and requirements you have to comply with.
Gary Sharpe : Alright, operator -- Michelle could you go ahead with the other questions in the queue now.
Question:
and:
Operator: We have a question from Paulenne Kirschenbaum of Chapin Associates. Your line is open.
Paulenne Kirschenbaum : I have a question, I noticed on at a site discussing AREVA that they had a strategic agreement with Japan Nuclear Fuels and ATOX for the development of civilian nuclear power. And I just wondered, I noticed that we’d had a past arrangement with AREVA and the fact that they mentioned civilian nuclear, are we involved in any way with AREVA at this juncture?
 Chapin Associates: I have a question, I noticed on at a site discussing AREVA that they had a strategic agreement with Japan Nuclear Fuels and ATOX for the development of civilian nuclear power. And I just wondered, I noticed that we’d had a past arrangement with AREVA and the fact that they mentioned civilian nuclear, are we involved in any way with AREVA at this juncture?
Seth Grae: Well, AREVA is one of the largest global nuclear fuel fabricators and they compete for fabricating nuclear fuel the world over, including in Japan which is of course a much smaller market now than it used to be while they’re still slowly reopening their reactors after Fukushima. Our relationship with AREVA has been primarily based on thorium fuels. We are not involved in their strategic relationship in Japan, but we do maintain contact with AREVA. Our focus right now is with Babcock & Wilcox and with our Russian partners on our metallic fuel.
Gary Sharpe : Alright, we have another question via the Internet. This investor is asking, do you have an estimate of the total amount of dollars that are going to be needed over the next three years to continue the research and development of Lightbridge’s fuel technology?
Seth Grae: The total all-in cost not over three years, but over a longer period of everything for us and our partners through full commercialization starting in commercial reactors what’s called lead test assembly of our fuel running in commercial reactors is a bit over $90 million. Now, that’s not money that the Lightbridge will pay. We expect that strategic partners working in nuclear fuel fabrication would cover just about all of that cost, so Lightbridge’s budget we don’t see as materially increasing above what it’s been. We develop the technology, we don’t make the hardware.
Gary Sharpe : Alright, the next question that came over the Internet. When will Lightbridge’s metallic fuel technology begin to generate revenues?
Seth Grae: Well, we expect over the coming year and following year to have commercial arrangements in place with the major nuclear fabricating companies, with major strategic partners. Based on the discussions we’re in, we expect these arrangements will include revenue to Lightbridge as we’re hitting the major milestones, including over the relatively near-term that could include what’s called technology access fees to Lightbridge based on our intellectual property, as well as engineering supporting services as we’re going to be working on the fuel design and we expect that will be paid for through these major partners. So, I would think over the next year, you would start to see those revenues coming into Lightbridge actually.
Gary Sharpe : Alright, next from the Internet, will potential fabrication partners need to change their tooling to manufacture Lightbridge fuel? And if so, what’s the range on retooling capital expenditure?
Seth Grae: Well, first to go back in the supply chain before you to get fabrication. Uranium mining and milling will be unchanged. Uranium conversion which is a chemical process that allows the uranium to be enriched will be changed. Uranium enrichment itself those processes will be unchanged and how enrich the uranium. The fabrication of the extruded or casted metallic rod will be different from the fabrication of these current pellets stacked inside a tube. So, yes, that’s new machinery, but it’s not very large or very expensive machinery that does that casting or that extrusion of the metallic rods. We’re right now in the midst of a feasibility study with Babcock & Wilcox, which has experienced in making metallic fuels for government use and is quite expert at this. And we expect this feasibility study which will be finished in the first quarter of 2014, to have the exact answers on the retooling capital cost and the requirements of what that machinery would be, but at least thus far it does not look like it will be anything that would materially affect the ability to fabricate this fuel. In fact we expect tremendous economic advantages of switching to providing and using this fuel.
Gary Sharpe : Okay, operator, Michelle, would you please remind callers of the Q&A procedure.
Operator: (Operator Instructions)
Gary Sharpe : Our next question comes from the Internet as well. And is, are negotiation with potential Russian fabricators still on-track?
Seth Grae: Yes, they are. And we have some meetings with them this month in Moscow and things are very much on-track. As Andrey mentioned, we’ll producing the fuel in Russia both for the test in MIR test reactor in Russia, at the Dimitrovgrad and the Advanced Test Reactor, the ATR and Idaho Falls in the United States where it will run under commercial pressurized water reactor type conditions in those reactors, those results will be useable by the nuclear regulatory commission in the U.S. and other regulators around the world for licensing the fuel for initial commercial use. This will be going on in parallel with our joint venture with Babcock & Wilcox for making the pilot plants to make commercial fuel in the United State, not for test reactors but actually for the initial uses in commercial reactors so that as we get the results and licensing coming from the test of the Russian made fuel and the research reactors in the U.S. and Russia, we could have the commercial fuel that could be made in that Babcock & Wilcox field and used in natural power reactors.
Gary Sharpe : Here is another question that’s just come in over the Internet. Do the safety benefits of Lightbridge’s fuel reduce the cost for a reactor to comply with safety regulations?
Seth Grae: Potentially they can. Basically, the fuel will add significant what’s called operating margin and safety margin to the reactors. This partly comes from the fuel operating almost of 1,000 degrees Celsius cooler in the core of the reactor even with the power operating longer fuel cycle that the fuel provides. The fuel will in the event of a loss of coolant accident losing the water to the core in the reactor and what’s called the design basis loss of coolant accident will not reach the temperatures at which the current fuels and reactors generate hydrogen gas which is what exploded at Fukushima and that’s one of the tremendous safety advantages of Lightbridge fuel, it’s one of the key reasons why utilities are interested. Utilities to deal with hydrogen gas production use what’s called hydrogen recombiners in the plants, they use venting systems to try to vent the hydrogen if it’s produced, that our fuel won’t produce in the same circumstances. These are what are called active safety systems, meaning that they could actually fail themselves in an accident. And this is what happened at Fukushima where the venting did not work properly and the hydrogen stayed in the building and blew up. So, my personal feeling is that the utilities should do all of the above, how regulators will treat what they have to do we don’t know yet, but our fuel will bring tremendous advantages in these areas.
Gary Sharpe : Okay, operator I see that we have another question in the queue so would you please.
Operator: Yes. We have a follow-up question from Paulenne Kirschenbaum of Chapin Associates. Your line is open.
Paulenne Kirschenbaum : As a follow-up Seth, the world clearly went through a rather devastating economic downturn and the central banks around the globes done their best to be able to provide economic help in these circumstances. We need desperately a new business environment. And what role do you think that the nuclear renaissance will play in the creation of jobs and global business opportunities?
 Chapin Associates: As a follow-up Seth, the world clearly went through a rather devastating economic downturn and the central banks around the globes done their best to be able to provide economic help in these circumstances. We need desperately a new business environment. And what role do you think that the nuclear renaissance will play in the creation of jobs and global business opportunities?
Seth Grae: I mentioned Pandora's Promise. The documentary that aired on CNN last night, I believe is now available online or will be soon and certainly on pay-per-view et cetera. And one of the points in that documentary is that the healthiest people in the world, the people with the longest lives, the greatest health, the best education, the best quality of life are the people who live in the most energy intensive places. And it’s just not possible to move people from Western provinces of China without electricity, to cities where they use a lot of energy without massive new amounts of energy. And even though compacts were less involves and conservation will be a big part of dealing with energy production in places that already have a lot of it. The biggest parts of the renaissance in nuclear power are happening in places that don’t have power yet and they’re getting it by adding a lot of nuclear reactors in parts of China, Russia, India other places across the developing world. And I think nuclear power has to be a crucial part of the base load electricity in these places and is as we have about 70 reactors under construction as we speak or else we are not going to meet our climate change goals and we’re going to have toxic air as we see China now trying to replace coal plants with nuclear as part of their way to clean up their air and improve their health. So, I do think nuclear is a big part of the renaissance. I really see the world is falling into two different groups of countries when we talk about nuclear power. One is countries that already have reactors or were committed to building reactors like the UAE, where they all took a pause after Fukushima, China, the UAE, the U.S., these countries that have had reactors. And then decided to go forward and in many cases actually accelerated their move towards nuclear power. The energy information agency in the United States within the Department of Energy put out projections of growth in nuclear power in the world three months ago that actually show an acceleration since Fukushima and more nuclear demand total because of these countries that already have nuclear power took a pause and are actually mostly more committed to it now than ever. The second group of countries is those that don’t have reactors but are thinking about it, looking into it, Turkey, Poland, Vietnam, Bangladesh, Kuwait, many others, they’ve been slower I think than they would have been have Fukushima not happened. Many of them are taking key material steps, many of them are talking to us are included when I talk about contracts I think we will be announcing in Europe and in the Middle East and in Asia. But they really slow down because of Fukushima, but overall net-net there is more nuclear power than before Fukushima and it’s growing at a more rapid rate in the world. So I do think it will be a part of powering business Paulenne and I do think that the world cannot possibly meet its energy needs without over reliance on fossil fuels if we don’t include nuclear as a major part of base load electricity and that’s what’s happening.
Paulenne Kirschenbaum : Well, I thank you Seth for what you and your team are doing on behalf of the shareholders to advance our opportunities, a sincere vote of gratitude. Thank you.
 Chapin Associates: Well, I thank you Seth for what you and your team are doing on behalf of the shareholders to advance our opportunities, a sincere vote of gratitude. Thank you.
Seth Grae: Well, thank you and there is no greater vote of gratitude I know you’ve bought stock in the company, so thanl you for that vote.
Gary Sharpe : Alright, here is the last question for today’s call, comes from an investor in Texas. Please comment on the Company’s current efforts and activities relating to advancing thorium as a nuclear fuel?
Seth Grae: There’s been interesting thorium for many decades both in new reactor designs or adapting old reactor designs, or in Lightbridge’s case a thorium fuel design that will work in the existing reactors and the new ones that would be built of the existing type. We do have people in our Company and involved with our Company who are involved with thorium fuel just last week Hans Blix, who is a Senior Advisor to Lightbridge spoke at a major thorium conference. However, the advantages of our thorium fuel design which are predominantly less waste, less toxic waste, significantly enhance proliferation resistance are not what the utilities are willing to pay for now. They are looking for two other things, which are dramatically enhancing the safety of reactors after Fukushima and lowering the cost, improving the economics of nuclear generation particularly in the face of hydrofracking for natural gas, lowering gas prices in the competition. And our metallic fuel does that and the utilities that are advising us are helping us with that. They are not helping us with the thorium fuel. And the major nuclear fuel manufacturers we’re working with in Russia, with Babcock & Wilcox in the United States are doing so for metallic fuel because their utility customers and potential customers want the benefits of that. So we still have the thorium fuel designs. We still have people involved with the Company participating in conferences and discussing the importance of it. But we don’t have utilities willing to order or major companies willing to manufacture it, which we do on the metallic fuel and that’s why our focus is on that.
Gary Sharpe : We just received another call -- written question from an investor. He is asking a somewhat technical question. It says, with Lightbridge metallic fuel that enables 30% power up rate for new build reactors, does this mean that an EPR could be slightly redesigned for a 2.1 gigawatt output?
Seth Grae: Yes, and we’ve actually done modeling specifically for an EPR actually and we’ve quite a bit of data on exactly doing that to an EPR among other reactors as well but in EPR which has stood for few things. It started as a European pressurized water reactor and then as they wanted to market it in other places in the world they started making the E stand for some other things like environment lead enhancement different things and now they just call it an EPR. But in any event it’s about a 1,600 to 1,650 megawatt electric pressurized water reactor using what would be thought of as vesting house type technology designed by AREVA in France. It’s under construction in France and in Finland and in China and it looks like soon starting in India. They are also looking at sites in the United States and in several other countries. And part of our discussions in China have been about where they have small sites, where they could only fit three reactors but the need power of four near some of the cities, and if you build three reactors with a 30% power up rate, you could get almost the power of four reactors but only have to build three. So there is tremendous savings in doing that and tremendous advantages when you look at it as sort of getting four reactors with only building three in terms of electric output, in addition to the other specific benefits if you looked at it as there is only one reactor at a time that our fuel brings. So the answer to your question is yes, absolutely that’s right, you would need a higher power turbine to handle the added electricity, you need higher power steam generators, but in terms of the core of the reactor, the reactor itself no, it’s no change other than just use our fuel instead of regular uranium dioxide fuel in a reactor. Our fuel would change the core of an EPR to make 30% more electricity.
Gary Sharpe : Here is a follow-up question. If your fuel operates at 1,000 degrees Celsius less than today’s fuel, does this mean that if coolant was lost then heat of the fission products undergoing decay in the rods would be insufficient to melt the fuel. In other words, are meltdowns not possible?
Seth Grae: Well, look, I never use the term not possible. It’s possible to go beyond the design basis incident with almost any kind of industrial facility in the world where something becomes possible is very unlikely. And our fuel is much more forgiving would buy much more time, has tremendous benefits. Fission products are a separate issue that overtime start to heat up fuel again, one of the additional benefits in addition to what we’ve spoken with on this call are something that some of the engineers working on this fuel and other companies that have looked it have called well even if you ultimately could drive it to go over the cliff we’d give you a parachute. And part of what that parachute is, is that this fuel retains what’s called a coolable geometry whereas the current uranium dioxide fuel rods melt and start looking like limp spaghetti and then coagulating down at a clump at the bottom of the reactor core and even burning through the bottom. Our fuel, the metal fuel has much better properties at transferring heat or coolness up and down the rod because it’s a metal rod and it keeps it shaped. And even with just some water at the bottom of that reactor you are taking that coolant and then transferring it up the rod and you’re retaining this shape, this geometry of the rod that as you later get water back into that reactor, this is much more forgiving. I’ll ask our Chief Nuclear Fuel Design Officer, Jim Malone, to chime on this point as well.
Jim Malone: Yes, I think you captured it Seth. The forgiveness of the fuel is related to the fact that it does remain coolable and if there is any part of that fuel, the distinction between the metallic fuel and the uranium dioxide fuel is the ability to transfer heat up and down the rod which the metallic fuel does very well that the oxide fuel really does little if any at all. So there is a significant advantage to our fuel being coolable and you’re quite right by the way about not saying it’s not possible. We need to make that clear all the time and you did a good job of clarifying that issue for the person who asked the question.
Gary Sharpe : Here is a follow-up question from the same investor who is asking, does the 30% up rate possibility reduce reactor design costs and reduce the necessity for safety redundancies?
Seth Grae: Well, I would say that that’s not what we’re pushing our customers to do. This is designed to work in the reactor designs as they exist without changing the reactor, some of what’s called the balance of plant outside the reactor to take the 30% power up rate you’d have to change and this affects everything from piping to pumps and valves to the turbine to steam generators if it’s pressurized water reactor and steams, such as boiling water reactor. So, the reactor itself would exactly the same but get a 30% power up rate by switching to our fuel these ancillary systems which are not that much different than you see in a coal plant or a natural gas plant like the turbine. Would need to be designed to take added power, they have some margin in them which is why we say that switch a current reactor to our 10% power up rate fuel. In some reactors with hardly changing a thing because they already have 10% margin left in the plant, but they’re aren’t 30%. So you have to build a new reactor for that and one of the reasons we don’t want to change the reactor just the ancillary systems around it, is that it’s a much lighter regulatory burden to build essentially the same nuclear part, the same reactor but just switching to a new fuel. And what was the second part of that question Gary?
Gary Sharpe : Cost, does the 30% up rate fuel lead to reactor design, cost reductions?
Seth Grae: No, so it’s not going to lower the cost of designing or building the reactor, it’s going to lower the whole cost of a project that will make it more profitable in the hope where you’re building a reactor is to sell the electricity and you’re going to cell 30% more electricity than you would have if our fuel hadn’t been used. So the profitability of that reactor, the reason why you’re raising capital and building it and operating it is going to be improved and I’ll ask Andrey Mushakov, our Executive Vice President for International Nuclear Operations to comment on this.
Andrey Mushakov: Yes, with respect to the cost for a 30% power up rate fuel variant for a new build nuclear power plant. There is going to be as Seth pointed out, there is going to be some additional sort of incremental cost associated, capital cost associated with higher capacities in generating those turbine and also you have to basically enlarge the containment structure to be able to accommodate the 30% power up rate. So, there will be some additional capital cost, but since it’s a new build reactor, those costs are not going to be 30% greater. They’re going to be just on top of the cost of standards equipment that that plant would use without the power up rate. So that incremental capital cost is going to be less than 30% according to our sort of in-house economic modeling and you’re going to end up with reduced cost of what is called total levelized cost of electricity generated which is basically all of the capital O&M, operating and maintenance and fuel cost on a circular let out basis. So, there is going to be a reduction in that cause, but basically the reduction is going to be probably a little bit less than 30% because there is some -- the fuel cost will go up somewhat because of the 30% power up rate requires more fuel or enriched fuel et cetera. So, overall there is going to be a reduction in total levelized cost. It’s just going to be somewhat less than 30% reduction.
Gary Sharpe : This investor’s follow-up question, the last question we have in today’s call is, does safer fuel mean it costs, does safer fuel mean lower safety redundancy costs?
Seth Grae: I hope not. We’re giving the reactors a fuel design that gives them a greater safety margin that gives them a greater operating margin that is much more for giving that if there is an incident be at anything from an earthquake to a tsunami to an attack on the plant that this is a fuel design to avoid having an incident or if something happens making it much less severe and much more forgiving. I would not argue for lessening the defenses they now have in terms of redundancy of generators that can power water circulation through the core et cetera, we’ve never argued that Lightbridge should be a reason for lowering the guard in the existing safety systems, but given existing safety systems this makes it quite dramatically safer.
Gary Sharpe : There is a follow-up question now from another shareholder on the topic of 30% up rates. Are any of the reactors under construction being designed to accommodate 30% up rates or are they capable of being converted?
Seth Grae: The reactors under construction could accommodate our 10% up rate fuel and with some modification to some key systems could accommodate our 17% up rate fuel. None of the reactors under construction could accommodate our 30% up rate fuel that reactor would be in a sense the ancillary systems in that reactor, the balance of plant would be designed to take 30% more power which as Andrey said is in a sense not a big deal to build turbine that can handle 1,300 megawatts instead of a 1,000 megawatts for example. It’s not a rocket science to handle these systems. These are things that are already done in the world making higher capacity systems. So, these are reactors that would be ordered to include the 30% up rate fuel. One of the benefits of our 10% and 17% up rate fuel is that there is 100s of reactors in the world and more under construction on order that could use them as is.
Gary Sharpe: That was the last question for today's call. I'll turn it over to Seth for his closing remarks.
Seth Grae : Well thank you, Gary and thank you Michelle. Everybody our lines are always open here at ir@ltbridge.com not just during these calls, so please send us your questions, comments at any time. Our phone number is 1571-730-1213, if we don't pick up leave a voicemail, we get calls from all over the world and we will get back to you or post it on FAQs on our website or frequently asked questions. Lightbridge is well positioned to serve the rapidly expanding global nuclear power market with our fuel designs and our expert independent advisory services. We expect to have significant news to report to you in the coming quarters, until our fourth quarter business update, goodbye.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program and you may all disconnect. Everyone, have a great day.